Operator: Greetings, and welcome to Envestnet's Second Quarter 2022 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded.  I would now like to turn the conference over to your host, Brian Shipman, Head of Investor Relations. Please proceed.
Brian Shipman: Good evening, everyone. Thank you for joining us on today's second quarter 2022 earnings call. Before we begin, I'd like to point out that the earnings press release, supplemental presentation and associated Form 10-Q can be found under the Investor Relations section of our website at envestnet.com. This call is being webcast live, and a replay will be available for one month on our website. During the call, we will be discussing certain forward-looking information. This information is based on our current expectations and is not a guarantee of future performance. I encourage you to review the cautionary statement on Slides 2 and 3 for potential risks uncertainties and other factors that could cause actual results to differ from those expressed by the forward-looking statements. Further information can also be found in our regular SEC filings.  During this call, we will be referring to certain non-GAAP financial measures. Please refer to the appendix in our presentation for a reconciliation of those non-GAAP financial measures to the most directly comparable GAAP measures. The presentation is also posted to the Envestnet Investor Relations website.  Joining me on today's call are Bill Crager, the company's Chief Executive Officer; and Pete D'Arrigo, the company's Chief Financial Officer. Bill and Pete will provide a company update as well as an overview of the company's second quarter 2022 results. After our prepared remarks, we will open the call to questions. During the Q&A, please limit yourself to one question plus one follow-up. You may get back into the queue if you have additional questions.  With that, I'll now turn the call over to Bill.
Bill Crager: Thank you, Brian. Good evening, everyone, and thank you for joining us today. The first half of 2022 has been an incredibly challenging environment for investors and for consumers. A CNN poll conducted last month summarizes the current mood that's out there. 82% of Americans rated economic conditions as poor. You all know the economic and market headlines, but I wanted to start with some things that Envestnet knows about the quarter. These are insights that we share with our clients giving us the ability to support them in real time as a market like the one we've experienced unfolds.  During the quarter, advisers increased cash positions 23% quarter-over-quarter and 46% year-over-year. That's a huge shift. Advisers move to more conservative positions such as fixed income flows up 19% quarter-over-quarter in this category. Investors increasingly sat on the sidelines and grew their cash positions. Contributions to investment accounts were down 20% quarter-over-quarter and do-it-yourself investors were even more worry reducing contributions to their accounts by more than 30% versus 1Q. This insight presented an opportunity for our advisers. Consumers are absolutely feeling it as well. Bank balances are down 6% year-over-year, aligning with increased consumer costs due to inflation while consumer staple spending is down 5% year-over-year.  Environments like this are a testament to the essential value of what Envestnet provides to our clients. When the operating climate is challenging, we go deeper with clients. We scale ahead and support surging client demand. And as we do, we strengthen our foundation for revenue growth and operating leverage as markets normalize. This is what has happened here at Envestnet so far this year.  We began the second quarter with $5.5 trillion of assets surved. We ended the quarter with just under $5 trillion. The market contraction taking roughly 12% of total assets. According to the ICI, in the second quarter, the asset management industry recorded annualized net flows of negative 3%. Given the size of assets we serve, you might conclude that we'd be in line with industry flows. However, we posted $6 billion of positive net flows during the quarter. We continue to see very positive mix shift from AUA to AUM. Our 7% annualized organic asset growth rate in the first half of 2022 was well above of our industry peer group.  We are driving flows, albeit at a slower pace than we anticipated, but Envestnet is growing faster than the market, and we are expanding our market share as we do this. We also executed 30% more trades in the first half of '22 compared to last year. We did so with lower error rates and higher client service scores. Our clients depend on us as an essential partner. We are the partner supporting thousands of the leading financial advisers in the industry, providing the most powerful, comprehensive set of capabilities, operating with extraordinary scale, especially in times of market stress that we've experienced so far this year.  Going deeper, we are scaling when needed. We are expanding share. We are strengthening our financial position. Put very simply, Envestnet is executing. And this year, we are proving, once again, we are more than up to the task.  Let's talk briefly about the second quarter results. Adjusted revenue for the quarter grew 10% year-over-year to $319 million. This is slightly below forecast given the significance of the market contraction and the actual flows versus anticipated flows for the quarter. Adjusted EBITDA was $57 million, this was ahead of guidance. Adjusted earnings per share was $0.49, higher than our guidance for the quarter.  The number of accounts on the platform have grown impressively despite the conditions up to 17.9 million accounts, which is an increase of more than 300,000 net new accounts in the first half of the year. Lastly, Envestnet has seen positive net asset flows every month so far in 2022, which is a powerful proof point to what we do. We're able to demonstrate progress during these periods, and we come out of times like these in a stronger position because we have a highly recurring revenue base and provide a highly essential service to our clients. We are the market leader, and this allows us to deliver at scale, and that's differentiated from any other provider in our space.  The essential capabilities that we offer our clients grow market share in both good markets and challenging markets. And we leverage powerful secular trends that drive us to meet our long-term financial targets. These secular trends are important to our outlook and growth trajectory. I want to spend a minute on them.  First, people are more worried about money than anything else in their lives and their concern is growing. According to a recent LendingTree study, 32% of people site money as the top source of stress in their lives. And perhaps from a more promising perspective, our own research tells us that Americans that have a financial adviser feel significantly more, in fact, 3x more secure in their financial situation than those that don't. Financial confidence and advice is a challenge for many. But it's clear that financial advice is essential, and we are making it more accessible for more people. This is a huge social wellness trend, and we are best positioned to address it.  Another trend, planning-based advice has become the industry core solution offering. Envestnet is the leading provider of financial planning software, and we believe there continues to be a significant upside as our recent study revealed that 42% of the general population do not formally plan their long-term finances, but they want to. Demand for financial planning is growing, and it will continue to grow. We are the market leader. People want more connected advice, and this is another secular trend. In an EY study this year, 60% of North American investors say they want to consolidate their wealth in one place. Invest offers the most comprehensive integrated platform for advisers to offer holistic and connected advice to their clients, period. Fee-based advice has been a resilient trend for the wealth advisory industry with managed assets growing to 51% of assets served. This is core to what we do. We're growing faster than the market, and we are expanding our share. Data is the last secular trend we will touch on. Demand for data services is surging and will become the core power source for companies across the economy with a projected 17% revenue CAGR between now and 2030. Envestnet is the leading provider for data in the wealth space. And this quarter, we'll begin to introduce our comprehensive wealth data platform to our clients, which we are exceptionally well positioned to do. Our industry-leading essential solutions and services and these very important trends are why we are so resilient during periods like this and why we are so confident in the opportunity ahead. It is why our clients are leaning more and more on us. And this is why our investment program will yield accelerated results. Our results demonstrate evidence of this.  Envestnet is bringing our organization and our powerful capabilities together to create a more scaled, more intelligent and more valuable solution set for our clients. By doing these things, we will drive sustained revenue growth and increasing margin for investors. In February of 2021, we announced the accelerated investment plan. Those investments are now fully within our expense base, bolstering our product and engineering teams as well as our client engagement activities. We remain confident that we are on track to hit our 2025 targets of $2 billion in revenue and 25% adjusted EBITDA margins.  Let me spotlight the progress the business is making. First, the data and analytics business. Despite the market climate and the negative impact consumer activity has had on our verification business, and the even stiffer headwind facing our asset manager research panels, our data and analytics business continues to fortify its foundation. An example being the increased flow through our open banking connections with usage up over 75% quarter-over-quarter.  We are creating more connected data platforms to solve our clients' challenges. 2022 is the year these solutions make their way to market, beginning with our wealth data platform, as we call it, to WDP. This brings together our data connectivity, open banking, aggregation, enrichment and AI into a modern digital analytics-rich experience. This platform makes it easier and possible for firms and advisers to manage and create value from their own expansive data set. We are projecting around $35 million in annual revenue for this offering by 2025.  Inside the WDP, is the Envestnet Insights engine. The insight engine supports the growth of adviser client activity across all of our offerings, some data to share on our progress. At the end of 2Q, we were publishing more than 17 million insights a day. That's up from 11 million at year-end. We have seen a 37% increase in adviser adoption 1Q to 2Q. And for those that have adopted the insights, we see 70% increase in usage of those insights. This is so important because it's a fundamental driver of deeper customer engagement for our clients. Envestnet now offers the leading insight to sale solution in the industry. There's a slide in the supplemental deck that we've included that depicts the workflow. And I think it's important for investors to note this one as it drives increasing subscription and asset management revenue in support of our growth strategy.  I'll touch briefly on our wealth tech offerings. Envestnet's MoneyGuide has been a leader in financial planning for 17 years. Since MoneyGuide was acquired, we've increased market share by over 9 percentage points. We expect this to continue to grow given the expansion of the capabilities in our financial planning as well as continued strong demand for planning solutions.  We also have made considerable progress expanding our managed account technology to fully support RIAs, delivering a fully integrated experience via our Tamarac platform. Despite markets, assets have grown fourfold year-over-year with a very robust pipeline. This effort has opened a significant market opportunity for us. It starts with managed account growth. It will be followed by additional fiduciary solutions, which we project will drive approximately $50 million in annual revenue by 2025.  As I mentioned in previous quarters, we recently launched our market-changing client portal with a number of clients. This is a powerful rendering of the work we are doing and the impact we can have for advisers and their clients. And you likely made note of our acquisition of Redi2 technologies. They are an innovator in cloud-based delivery of revenue management and billing software. Redi2 opens a deeper revenue opportunity across our advisory clients as well as opens and new revenue opportunity with our numerous asset manager partners. The transaction will also create greater operating leverage as we integrate Redi2 into our infrastructure.  And lastly, our solutions business continues to grow impressively despite the market conditions. When it comes to managed accounts, Envestnet has been growing our share of market. Today, our share is at 3.5% and growing faster than industry peers. We expect this growth to continue. And for some context on why this matters, an increase of 1% in share results in incremental $100 million in net revenue for Envestnet based on 2Q depressed ending market values.  Our tax and impact overlay assets grew 12% over the year and even more importantly, accounts are up 46%, demonstrating strong demand in a challenging market. The number of accounts using Envestnet's direct indexing solutions has grown by 40% year-over-year. To put this in some perspective, Cerulli expects direct indexing assets to have a 12% CAGR over the next few years. We believe we are outpacing industry growth. Given the on-platform position of our offering, coupled with our ability to use our insight engine, these solutions contribute to managed account market share expansion and represent strong gross net revenue contribution for us.  And the last is an important update. Our high net worth solutions have experienced impressive growth in this market, they're outpacing even 2021 flows. This is a valuable offering for us. We've worked hard to establish distribution. We see accelerating adoption in these solutions and services generate the highest revenue per asset we have at the company.  A brief note on our operating model. as we modernize our offerings to our clients, we're also automating our operations, giving us the ability to scale without significantly increasing our operating costs. When this work is fully delivered, we believe it will contribute over 200 basis points in EBITDA margin by 2025, with incremental progress towards this goal beginning to be demonstrated in the fourth quarter of this year. These efforts range across the business from our data services, portfolio accounting, trading and billing as well as in our service organization.  Looking forward to 2023 and beyond, the opportunity we have continues to grow, and we believe there is no firm better positioned than Envestnet. Challenging environments have always been in time for Envestnet to differentiate ourselves. We're encouraged by the feedback we are hearing, by the progress we are making and the opportunity it is creating for us.  Let me turn the call over to Pete for his review of our second quarter results.
Pete D’Arrigo: Thank you, Bill. With the backdrop of the Q2 economic environment and capital markets, we continue to demonstrate our resilience and positioning as a critical component of our clients' activities.  Adjusted revenue for the second quarter was $319 million, which is 10% growth over last year. As we saw in the first quarter, the wealth segment was modestly softer than we originally expected due mainly to the volatility and drop in asset values in the capital markets impacting our monthly and average daily balance accounts. Flows continue to be positive but lower than what we had forecast. As Bill mentioned, industry data for the second quarter showed negative net flows, while we had positive net flows in the quarter. We also continue to see mix shift from AUA to AUM, supporting our effective fee rate expectations going forward. The data and analytics business also experienced the pressures of challenging macro trends in the economy and marketplace, the research business, which mainly serves asset management firms based ongoing challenges in Q2. Adjusted EBITDA was $57.1 million and adjusted earnings per share was $0.49. Both EBITDA and EPS were slightly ahead of our guidance for the quarter. While Q1 and Q2 showed the largest impact this year compared to prior year, in terms of operating expenses related to our investment initiatives. We are rigorously managing expenses in the aggregate, demonstrated by exceeding these near-term profit goals despite market-driven challenges to revenue. Before I go through the detail about our outlook for the remainder of 2022, I'd like to add some context. We have laid out a strategy and are focused on execution. We are not wavering from the goals we have established and fully expect to attain the revenue and profitability targets. Throughout our history, we have always consistently and methodically invested in our business with a long-term commitment to driving growth of revenue and EBITDA. We believe this best serves our customers, shareholders and employees. We are now essentially 18 months into our plan to accelerate investment and further these objectives. Those accelerated investments are now in our cost structure and will be managed as part of our overall company expense structure.  That said, we are not standing still on the cost side. In the near term, we are fighting inflationary pressure with disciplined cost containment in order to protect EBITDA during this period of market volatility. We will continue to closely control all manageable expense items in an effort to avoid any further decline in the adjusted EBITDA margin. Longer term, the technology and operational modernization effort we have referenced previously provides additional cost containment opportunities to achieve this goal of hitting 25% adjusted EBITDA margins by 2025.  Now turning to our outlook for the third quarter and the rest of 2022. We are updating our guidance as follows: for the third quarter, we expect adjusted revenues to be between $301.5 million and $303.5 million, adjusted EBITDA to be between $51 million and $53 million and adjusted EPS to be between $0.40 and $0.42 per share. For the full year, we expect adjusted revenues to be between $1.255 billion and $1.26 billion, adjusted EBITDA to be between $223 million and $227 million and adjusted EPS to be between $1.84 and $1.89.  Our guidance, as always, does not assume any changes in the capital markets from prior quarter end and is based on market levels as of June 30.  Turning to the balance sheet. We ended June with $338 million in cash and debt of $863 million, making our net leverage ratio approximately 2.2x EBITDA.  Thank you for joining the call today and your support of Envestnet. Now I will turn it back to Bill for his closing remarks.
Bill Crager: Thank you, Pete. Envestnet continues to execute its strategy, and we are making important progress despite the difficult operating climate. We delivered growth during the quarter that was historically difficult. The underlying numbers of new accounts and platform activity, evidence the essential nature of what we do for our clients and how we are serving them more and more deeply. Financial advice is essential. Our research has amplified this loud and clear. As I said earlier, in a recent Envestnet study, Americans that have a financial adviser were nearly 3x more likely to feel financially secure than those that do not have an adviser. We believe this statement holds true across the spectrum of affluents. I believe our results also tell an important story about our clients. We enable our clients to react, respond, engage and help navigate people through these times. Our insights, our solutions and services have fundamentally changed how our industry reacts in times like these. When all is said and done, the value that has been created by our network of advisers in a time of historic financial contraction is extraordinary and meaningful in how families achieve their financial goals. This changes people's lives.  It also ups the competitive ante going forward. Envestnet is an essential partner and increasingly so as people's expectations for more digital engagement, more connected, integrated experience of their money and more intelligent, personalized solutions grows. We are delivering today and we are leading the way to tomorrow, going deeper and expanding our market share as we do, strengthening our competitive position and leaning into the areas that secular trends will benefit us for years ahead. We are creating scale. We are creating operating leverage to drive greater profitability for our business, and I'm extremely encouraged with the progress that we're making.  Thank you very much. We will now be happy to answer your questions.
Operator: [Operator Instructions] The first question comes from Devin Ryan from JMP Securities.
Devin Ryan: Bill, Pete and Brian, So I want to start on the new slide you provided, I think, Slide 10 where you show the ramp in revenues with RIA clients I thought that was interesting. Obviously, you had the meaningful ramp in managed accounts. You talked a little bit about that. But maybe if you can just give us a little more context on -- you talked about a robust pipeline. What that looks like? You talked about the differentiation of that platform, the visibility you have on that kind of meaningful ramp over the next couple of years. And just what type of penetration that implies or assumes for the platform?
Bill Crager: Yes. Thanks, Devin. And we've been -- we've got a very strong position in the RIA market today. We do that in a couple of different ways, one with our Tamarac platform, one with MoneyGuide and one with our managed account offering and investment. And what we've done has really worked really hard over the last quarters to bring a lot of those pieces together to bring the full weight in full capacity of Envestnet to our clients' desktops. And so that work is being done. And as it does, we open up lots of opportunities. And the door we cracked first was really around managed accounts. And we're seeing a pretty exceptional uptick in the flow of -- and usage of our managed account platform in the -- with our Tamarac clients. So that is about -- we really began to focus here within the last year and have just begun. So our penetration, the growth year-over-year of assets is very early stage. But our pipeline is deep as we engage number of Tamarac firms and introduce them to what we can do from a managed account and investment strategy standpoint.  What's most attractive, I think, to the RIA market, our value-added services and things that we've focused on in the past, Devin including things like our direct index solution, things like our tax services and tax overlays or impact platforms and also we'll begin as part of this campaign to introduce a further array of fiduciary solutions, what are those; our alternatives platform that we announced in conjunction with UBS in iCapital is something that RIAs are very interested in. Our insurance platform from a fee-based integrated fee-based offering. And so we opened the door. The pipeline, I'd say, is substantial. We'll get pretty quick uptick and it will be a revenue driver, an accelerant to our AUM and drive good gross revenue, net revenue, but in many cases, both gross and net as they utilize our more value-added services.
Devin Ryan: Thanks so much, Bill, for the comprehensive answer there. A follow-up for Pete, just on expenses, a lot of moving parts, appreciate on the macro backdrop, and that's affecting kind of revenues and markets are clearly moving in big ranges right now. Can you maybe just talk a little bit about the cost constraints that you alluded to in the new implied expense guide? What I'm just trying to think about is like what those -- what you're specifically doing on expenses that's helping you in containing expenses. What are the areas of leverage? And then, also just how much is timing? Meaning, you can kind of pull back a bit for now, but if revenues recover, then effectively all the expenses just come right back in. So I'm just trying to think about how much is temporary versus what actually might be real expense savings that you're able to pull out just in taking a little bit of a tone belt here.
Pete D’Arrigo: Yes. So there -- I would say most of what the manageable component of what we're doing is I don't know -- I don't want to necessarily say it's temporary, but it's part of an ongoing evaluation or assessment of how the business is performing and where we can invest or need to invest to -- or I shouldn't say invest, to allocate resources to ensure that we're making the progress that we need to in certain areas. We've -- as you well know, with the investments of kind of front-loaded a couple of years or so of hiring. So we were able to kind of -- kind of tap the brakes a little bit or manage increases in headcount, which gives us some availability, our ongoing travel as we're kind of a dispersed organization throughout the country. As we're coming together in places, we're relying a little more heavily on Zoom for the back half of the year. Again, I think that was one of the areas we've talked about in the past that would start coming back that went away in 2020 we're managing how quickly that can come back, and that will continue to be assessed on an ongoing basis. So those are a couple of examples, but it's things like that.
Bill Crager: And Devin, I would just add to Pete's answer is all the investment dollars that we kind of announced early in 2021 are fully loaded into the cost base now. And what we're seeing is we're transitioning this -- from this new talent that creates the ability to unify and integrate our technology create all the intelligence and insights that we're generating on a daily basis from a data standpoint. And those are in the house, and those expenses are on the books. And we'll manage now on those areas where we don't have to depend as much and we can transition to a higher degree of automation from an infrastructure standpoint, and that will continue to kind of drive the leverage going forward. And that's exactly the point that we're at as we reach this quarter.
Devin Ryan: Got it. Okay. Well, really helpful context. I'll leave it there.
Operator: [Operator Instructions] The next question comes from Alex Kramm from UBS.
Alex Kramm: I think I asked a similar question last quarter already, if I remember correctly, but it's really about the pickup or take up in your personalized solutions. So if I look at the data, and thanks for giving us a little bit more data, I think you also gave us accounts and personalized solutions. That's very helpful. But that also speaks to kind of the question I have. If I look at the last 18 months or so, you saw a really nice pickup in the percentage of personalized solution as a percentage of AUM. And then at the beginning of this year, it's been falling off so far this year. So meaning it seems like you're making some really good progress as part of your overall book. And it's coming down.  And if you look at the personalized solutions accounts, which you disclosed today in the slide deck on Slide 11, those have grown, I think, 13%, but your AUM total accounts have grown 23%. So it seems like while you're growing it's not growing as fast as maybe other AUM offerings. So, I'm just wondering -- are you losing share? Is it a pricing issue that maybe others are -- other AUM solutions are selling better? Or is it just a market situation. So I know it's a long-winded question, but I would hope that your products on your platform are doing better than competitors.
Bill Crager: Yes. My sense is a very strong sense is that we're outperforming. And so like I mentioned on the call, our tax overlay assets are up 12% year-over-year, but our accounts are up 46%. Our direct index is up accounts, number of accounts were up 40%. I think the asset levels in our -- where we've seen some attrition, and it's not surprising, is in the sustainability platform from a performance standpoint. Green is underperformed while Energy has outperformed. And so the disparity in performance in that particular category has been pretty significant, but we continue to add accounts.  So I look at it this way, Alex, is that -- and you've probably heard me talk about it this way before. Year-to-date, we've added 300,000 net new accounts. We've added a significant number of accounts in these value-added programs. They're all coming to us at very depressed asset levels -- market values, right? And then as the market releases or as the market normalizes, there'll be a coiled spring, which will accelerate the growth of assets in these categories and accelerate by a multiple, the revenue we're generating because these are typically gross net type of solutions.  And so I am very encouraged by the progress and the continued addition of accounts and advisers we've activated who are using the solution who are bringing accounts to the platform. And I look at it as that coiled spring dynamic. Accounts load onto the platform in a very depressed, very difficult market environment, as the market normalizes, that expands and that expands at a faster rate, given the gross net nature of these particular solutions. So I look at these things positively. I'd just add that overall, when we look at 2Q '21 over 2Q '22, we're going deeper with advisers. So advisers are -- have 30% -- the average -- the adviser on our platform has 30% more accounts with Envestnet in 2Q '22 than they had in 2Q '21. In these AUM and AUA categories, that's up over 15% quarter-over-quarter -- I mean, year-over-year. The revenue per account in AUM&A is up 20% year-over-year despite the market contraction. So we are going deeper. We're activating more advisers with these services and their opening accounts. Those accounts are coming in depressed market values. That's why you're seeing the asset levels kind of steady out. And then I believe that as the market normalizes, you're going to see an accelerated growth from here.
Alex Kramm: Yes. Thanks for the last part there. I actually noted that two of the accounts per adviser is definitely going up. But that actually gets me to the second part of my question which is the number of advisers on the platform, I think year-to-date, I think the last two quarters were down. I don't think I've actually seen that in your history, which, again, just -- is this a penetration situation at this point because you've come so big? Is it because you're really more focused on penetrating deeper versus new advisers? Or is it because of other advisers or you're losing advisers for other reasons?
Bill Crager: No. This is primarily acquisition activity that our clients have undertaken. And one of those acquisitions was an existing client of Envestnet. So we're doing some cleanup on active advisers into the last two quarters has really been that cleanup, Alex, to get the number 2 active advisers. So in the case that during that transition or that transaction, some of those were duplicated. So we've cleaned that up, and that's the actual adviser count. When I look at new adds, we continue to have a pretty sturdy pipeline of enterprises, continue to convert clients even in markets like these, continue to sign new Tamarac clients year-to-date doing very well from new contract standpoint. So we're adding relationships during this period. And that decrease in advisers is really 95% related to that cleanup that we had to do with an acquired client of ours by another client of ours.
Alex Kramm: So in short, you're still pretty confident that you have plenty of room to add -- continue to add advisers to the platform? You're far from being penetrated on that side of the growth?
Bill Crager: Yes, I believe so. I mean I think what we're seeing is in the RIA market. We've done a very good job of penetrating the higher end, the top RIAs in the country. But I think you'll see us begin to go a little deeper in the market to lower asset and managed asset RIAs. And so we're focused on continuing to sell through that RIA market to all tiers of the RIA market with our packaged MoneyGuide, Tamarac or Wealth Data Platform and managed account solution.
Operator: [Operator Instructions] The next question comes from Surinder Thind from Jefferies.
Surinder Thind: I'd like to start a question on the Data and Analytics business. Can you talk a little bit about the subscription revenue there? I noticed Yodlee's been down quarter-over-quarter for two consecutive quarters. Just any color there? Is there some sort of a volume component to the subscription that we should be aware of? Or just -- or maybe some color on the subsegments, just help us understand what's going on there.
Bill Crager: Absolutely, Surinder. So the business year-to-date has added 125 new logos. We've added a couple of hundred thousand new users. Our yield per user is down. That's really -- it's related very much to consumer activity. And so that part of our business, verification -- that sort of part of our business is very economically related. And in difficult economic climates like this, you're going to see less activity, and that has been a headwind for the business. The second component, and probably the primary component that is seen a stiff headwind, I'd call it, would be our research panels with asset managers. And that -- very market related. As you know, it's been a historically difficult first half of the year. And so that -- we had projected growth in that segment. And I would say that renewals are pushing out to later in the year, and that is definitely having an effect on our revenue growth in the subs in that business. Those are the two primary drivers, Surinder, that I'd spotlight.
Surinder Thind: Got it. That's helpful. And then just a clarification question on Slide 10. So it's a helpful slide. I mean, it's specifically labelled illustration, but when I think about just the way the slide is presented and I think about the revenue from the RIA managed accounts, is that meant to be somewhat illustrative of the fact that maybe you can get to like 25% of the overall RIA client revenues there? Or how should I interpret the...
Bill Crager: Yes. I talked about our managed account objective by 2025 being an annual revenue run rate of like $50 million. And I think that's going to be very achievable. We're very focused -- what we're doing is we're increasing the number of seats that increases the penetrable assets, and we're introducing solutions to those using our insights to help advisers better manage those relationships. And it's paying early dividends for us. Our pipeline is deep; I emphasize that. And so I would say that between now and 2025, we fully anticipate that we'll be generating $50 million on an annual basis in asset management fees in our RIA market. That's the beginning. This is a $1 trillion [ph] type of pool of assets that ultimately we can penetrate, Surinder. So as we get going, as we onboard clients, as we help them begin to open accounts on our platform.  What we're seeing is clients are going deep, they're not just opening a few accounts. They're beginning to convert big components of their business to an outsourced model, and we're definitely benefiting from that. So we're early days here, significant revenue opportunity, huge addressable market. because we serve such a predominant percentage of the RIA current marketplace, and we've got the right tool set and the right people focused on it. I'm very bullish on it.
Surinder Thind: Good to hear. And then one additional follow-on question related to expenses and the market more broadly. Obviously, you've talked about expenses being kind of front loaded. They're in the run rate at this point with all of the investments that you guys have made. How does that -- how do you think about that expense base if the market has been really chaotic? And so it's difficult to see where things are going. But if we were to remain at the depressed levels or the market doesn't rebound quickly. How do you think about the investments at this point in time in terms of -- there's -- Pete talked about the idea that there are some levers where expenses won't come back. But what about -- are there areas where you have to maybe think about being more, I'll say, prudent or conservative with expenses? Or how should we think about just the actual expense base in terms of the employee count?
Bill Crager: Yes, we're very aware and we're also very aware of the expectations we've presented to investors. So we're managing the business towards that. And Surinder, I would say, at this point or February of last year, we announced an investment program, fully executed that. So we went out and we now have the team that carries us into the future, right? So that's a big deal. And those expenses kind of were fully in the shop by the first quarter of this year. That has crossed paths with a historic market downturn, which is created a little more stress on our EBITDA. That said, we are right in the zone here of when we turn the corner to generate EBITDA growth and restore to the 25% adjusted EBITDA level that we've spoken about in the past.  A lot goes into that. A lot goes into that in that there are significant projects underway internally where there's a high degree of automation. There's a high degree of infrastructure, automated infrastructure that will help us bring down the cost to serve and create more and more scale for the business. And so those create a couple of hundred basis points of EBITDA margin as we roll them in throughout the organization. And my expectation is that we'll begin to see benefit from that by year-end. Of course, we have our eye on expenses given market climate. We have curtailed incremental hiring as of the end of the first quarter and we are very focused on manageable expenses. The market continues to be at very depressed levels, we'll be very prudent about how we work to achieve the expectations that we've set for investors, and we're committed to it.
Surinder Thind: Got it. And then just one more of a modeling question. The impact of FX on your expense base in terms of the number of resources offshore?
Pete D’Arrigo: It's fairly minimal on the expense base -- I'm not entirely sure. I think from a cash flow perspective, it was about $1 million last quarter. So the main FX exposure is obviously the rupee, the Indian rupee, where we have upwards of $75 million, $80 million of overall spending that goes on there. And so that's kind of the extent of it.
Operator: The next question comes from Patrick O'Shaughnessy from Raymond James.
Patrick O'Shaughnessy: So you spoke about some of the client-related headwinds facing the Yodlee business. But I'm curious, how is Yodlee doing competitively? You certainly kind of revamped the offering, made it more appealing to fintechs. How do you feel like it's competing out there in the marketplace?
Bill Crager: Yes. I mean, there's -- I would say that anything wealth-related we're winning in the large financial institution marketplace, we continue to win those mandates. We continue to enroll and build out our open banking network. We have the most connectivity there. And Patrick, there's been 125 new logos that we've signed this year. So we're competing. I think what's occurring in the market is also areas of specialty. So Plaid has a segment, MX has a segment, Envestnet has a segment. And we're very strong and have a very strong reputation and a high win rate in those areas where we have the most strength. That's at institutional level type data needs, it's absolutely in the wealth market.  I am particularly enthusiastic about the Wealth Data Platform. There is no -- in our industry, in the Wealth industry, all businesses are going to convert to the cloud. And we have the specialty to be able to be the cloud-based provider of data services to the industry. That goes beyond the kind of segment of clients or type of client that we serve today. It really addresses the entirety of the wealth industry. Because of our specialty because of our aggregation skills, because of how we enrich data because of the insights that we're able to surface and publish back to clients to help them go deeper with their clients. And that's a unique capability and I'm very bullish on that.
Patrick O'Shaughnessy: Great. And then I guess kind of building off your commentary on the Wealth data platform. So as you think about some of these key growth initiatives, whether it's WDP or your managed accounts or your exchanges, which of those are really kind of enterprise-level sales and which are kind of sales to individual advisers? And does your -- does whether it's enterprise versus individual adviser kind of impact the time line to achieve your hope for revenues?
Bill Crager: Yes. I think -- well, WDP is an institutional offering. But if you think about a small business, they don't have cloud services either, Patrick. So when we look at the RIA market, we think there's an enormous opportunity. It's not just their account data, it's business data and how we can kind of help them understand the valuation of their business, growth of their business, the opportunities they have to grow their business. So that is primarily and initially probably an enterprise sale because of the maturity of the enterprise market versus the understanding at the -- with a typical RIA firm is the value that can be created around data. So that's -- it's more of a sales job that we have to do.  There's a missing gap inside the institutional or enterprise world from a data standpoint. There's antiquated services and then there's the WDP, which is a very modern service. Yes. Is there a sales to deployment cycle because you have to treat the data, you have to normalize the data, you have to scrub the data, you have to test the data, all that needs to take place. So there's a couple of quarters, there's a quarter or two quarters that will have to go on at the institutional level. But that is probably primary secondarily would be the RIA market.  When it comes to like the exchanges, that's been primarily to date, an institutional offering. The Envestnet Insurance Exchange is up to $16.5 billion in assets that we're serving. We have a line of sight probably to $20 billion. But we have capability and flexibility to use other structures as well; so we're pretty comfortable with that.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session. And I would like to turn the call back to Bill Crager for closing remarks. Thank you.
Bill Crager: Thank you so much for joining us this evening. I can't think of a period where what we do is more critical and how we are investing is more relevant for our clients and their customers. I want to thank everybody for joining tonight. I hope everybody is doing well. And I also just want to thank all of my Envestnet colleagues for the work that you do. It is important, and we're making tremendous progress.  I look forward to speaking to everybody next quarter. Thank you very much.
Operator: Thank you very much, sir. This concludes today's conference. You may disconnect your lines at this time, and thank you very much for your participation.